Ingela Ulfve: Good morning, everyone. My name is Ingela Ulfves. And on behalf of Fortum, I welcome you all to our joint webcasted News conference on our fourth quarter and full year 2020 results. This event is being recorded, and a replay will be provided after the presentation on our website, and this session is limited to one hour. Before we start the presentation, I would like to briefly introduce our newcomers to Fortum. As of February, we are happy to have Bernhard Gunther started as our new CFO. In IR, we also have had some additions to the team. Camilla Nikk has started as our IR coordinator, and as of beginning of March, Carlo Beck has joined Måns and Rauno as IR manager. Carlo, with extensive expertise from Investor Relations brings strong experience of Uniper, as he is transferring from Uniper IR to be with us for at least one year. But moving on to the results. Our CEO, Markus Rauramo; and Bernhard will present Fortum’s Q4 and full year results. [Operator Instructions] So without further delay, I hand over to Markus to start.
Markus Rauramo: Thank you very much, Ingela, and welcome to our results presentation also on my behalf. I hope you have all stay safe in this tricky times. While COVID-19 is the one single thing we will all remember, 2024, it was not a decisive factor for Fortum’s development over the year. Despite the difficult operating environment, we produced solid results and took significant strides, both strategically and operationally. The most significant steps in 2020 were the consolidation of Uniper into the Fortum Group and setting our strategic direction for the group with Uniper as an essential part. Building on our strong position in CO2-free power generation and gas as well as our expertise in sustainable industrial and infrastructure solutions, we are now in an excellent position to drive forward the European energy transition. As we execute our strategy, we continue to transform our own operations towards carbon neutrality, in line with our new Paris aligned climate targets. And while we are phasing out old coal power plants and continue to optimize our portfolio, we also invest in the new, specifically renewables and hydrogen, like the 550 megawatts of new wind power that our Russian joint ventures commissioned last year. These wind parks in Rostov and Kalmykia will be followed by 80 megawatts of solar and 480 megawatts of wind in Southern Russia in 2021. In hydrogen, we have announced several promising initiatives this year, such as the plan to build a 100-megawatt hydrogen plant at Uniper’s Maasvlakte power plant in the Netherlands. At the same time, the strategic assessment of consumer solutions and our district heating businesses in the Baltics, Poland and Stockholm are proceeding. As part of our strategy alignment with Uniper, we identified corporation benefits with a positive cash impact of approximately €100 million annually to be reached in 2025. Work to achieve these benefits has started in December. Related to this, our focus is currently on the one team cooperation areas, i.e., in Nordic hydro and physical training optimization, renewables development and hydrogen. But continuously, we are searching for new value creation opportunities and this is deeply embedded in Fortum’s culture. In a highly competitive landscape and right in the middle of the energy transition, we need to act decisively, efficiently and fast and I am convinced that we could do even more if we work closer, better and more effectively together with Uniper. We strongly believe that determined execution of our group strategy and aligning our operations in each business even closer, will deliver not only excellent financial performance, but also the best opportunities for our employees across the group. Finally, before we jump into last year’s performance in detail, a couple of words on the regulatory development. The EU’s Green deal with its clear commitment to climate neutrality by 2050 and tighter emissions reduction targets for 2030 was a truly welcome development. The tighter targets will be translated into a substantially tighter EU ETS in the upcoming years, which is something we, for several years, have been advocating for. The tighter targets have also supported the price of CO2 emission allowances. This is something I will return to the development of later in my presentation. However, we are concerned about the development of the EU sustainable finance taxonomy. We believe all CO2-free technologies should be accepted as contributing to the climate change mitigation and included in the taxonomy. Right now, it looks like nuclear, hydro and biomass will be in an inferior position. We also believe that it is necessary to recognize the transitionary role of natural gas. Finally, we are pleased that the hydrogen economy also took several steps forward. With the EU commission and several member states presenting their hydrogen strategies. This is a very welcome development as the role of hydrogen made from CO2-free power will play a key role in decarbonizing the European economy. Then moving over to looking at year 2020. All in all, the year ended up being solid for us. Even if the Nordic spot prices came down by more than 70%, our achieved power price came only down €2 per megawatt hour. Our comparable EBITDA for the year was up 38% at €2.4 billion. If we look at comparable operating profit and share of profit from associates and joint ventures, it totaled about €2 billion. And here we have to remember that Uniper was consolidated into our comparable operating profit only part of the year and first quarter as share of profit from associates. This all ended up giving a very solid net profit and an EPS of €2.05, up 23% year-on-year. Our net cash flow from operating activities was very strong, an increase of €1 billion to €2.6 billion for the year. And finally, our Board confirms the proposal to propose to the Annual General Meeting a dividend of €1.12 per share. Then going into markets and commodities. If we take a look at the power demand, we can see that demand recovered close to 2019 levels in most areas. First, looking at the full year. Nordics was down 3%. This was more weather-related than underlying demand related. Central, Western Europe, down 4% for the year; Russia, 4%; Germany, 3%. And if we look at the fourth quarter, in Central and Western Europe, actually, fourth quarter was down only 2%, which is a remarkable recovery, for example, compared to Q2, which we see here, which was down 9%. In Russia, Q4 was only down 2% and Germany, Q4 down 1%. So all in all, good recovery on the demand side in the corona year. Then looking at demand now in 2021. The cold winter that we are experiencing now has increased the Nordic demand, notably. If we look then at another factor, which is very important for our short-term performance, the hydro reservoirs. What we can see from the graph, looking at the dotted lines of 2020 and 2021, is that Q3 and Q4, the reservoir levels were very high. So hydrology was very high, weather was wet and mild. This started to turn in December into dry and cold, which also resulted in high production volumes. And consequently, the gradual normalization of the reservoir levels, which we then see in 2021 line so we are getting closer to the normal level. So all in all, giving good support now for the beginning of the year. Moving over to commodities shortly about that. Both for coal and gas, during the last years, they have been impacted by the weakening global macroeconomic environment; increasing production of electricity, both from nuclear and renewables in Asia; and coal prices specifically have been pressured by increasing LNG supply as well. Like other commodities, the coal prices were affected by COVID-19, but the recovery started in Q2 2020. And during Q4, we started to see significant gains on the back of supply tightness and improved demand. And this demand was impacted by the cold weather and strong recovery in Asia. In addition to this, the tight situation and high prices in LNG market have supported coal during Q4 and Q1 of this year. In gas, the underlying – both growth in supply and weaker demand, that impact was even further escalated by COVID-19, leading to a strong oversupply. And finally, reduction of LNG supplies during the summer of last year. As the tighter supply was matched then by demand starting to recover, starting from Q3, prices have then inched higher on the back of this more balanced market. And the cold weather in the northern Hemisphere and strong recovery in Asia have led to the significant tightening of the LNG market and higher European gas prices in Q4. Then over to CO2, which has been – and which is a very important factor for us. What we can see is that the European carbon market has seen significant price gains since November. This has been supported by a multitude of factors. There’s been stronger confidence in the recovery of the European economy, on the back of the COVID vaccine developments, and the upcoming ETS reform in addition to the previous are important long-term drivers for the carbon market. In addition, the cold winter and then the break in the EUA auctions during December and January have also contributed to the positive mood. And we have seen continuously new highs for the CO2 pricing. The combination of higher EUA pricing and year ahead gas price movements have given continuous support also for the coal-to-gas switching, which is good from an emissions point of view. Then over to Nordic spot and forward prices. The wet and mild weather continued throughout the year in Q3 and Q4 until December. And that we can see in the Nordic system spot price. Since December, we have been experiencing the cold and dry winter. And in addition to that, higher gas prices, higher CO2 prices, and higher continental prices. And this has then given very strong support for the Nordic system price. And this increase, as you can see, is notable, both in the spot with with the green line and also with the forward curve. And here, we have shown where the forward curve was in November, and there’s a marked increase now until the 9th of March. Then it’s good to also remember that for us, there is more than just a system price that is relevant for us. So there’s a marked difference between the spot prices in the different price areas in Q4, €32 in Finland; €13.8 system price; and €25 for SE3 in Sweden. The high hydro reservoirs depressed the system price in Q4. But then SE3 and the finished price areas were supported by the low nuclear availability, transmission limitations and also higher prices in the Continental Europe. And the cold and dry winter and improved interconnection availability then increased the spot prices now in Q1. Then how did this all translate into our – both spot market prices and our achieved prices? If we look first at the Nord Pool spot price, Q4 year-on-year, we can see that spot price came down 64%. Our hedges and physical optimization and financial optimization massively stabilized this impact and resulted in that our achieved Nordic power price was down only 6%. In Russia, spot prices were rather stable, down 1%, as you can see in the top left-hand corner. And in ruble terms, our achieved power price actually increased 3%. But due to the weak ruble, if we translate this to euros, the achieved price went down 20%, but in rubles, plus 3%. And then I’ll go shortly through the segment results and some highlights there. Starting with generation. Q4 was down €62 million. Year-on-year. The result was impacted by lower power generation in nuclear and lower achieved power price, partly offset by good hydro volumes. For the full year 2020, generation was down €72 million. This was impacted negatively by the lower nuclear volume and lower tiered power price. But partly offset by the very strong hydro production. Moving over to Russia. Russia Q4 was down €18 million, when we calculate in euros, but that includes an FX impact of €19 million. So actually, the underlying result in rubles was very stable. And both for the Q4 and full year I have to give strong credit for Alexander and his organization for maintaining the good availabilities and cost efficiency, which then practically offset the impact of the lower CSA payments in the fourth quarter. For the full year, the Russia segment comparable operating profit was down €65 million, this includes a negative FX impact from the weaker ruble of €34 million. Power margins and volumes were lower, so we saw some corona impact in Russia. CSA payments were lower, but on the other hand, heat tariffs were higher, and we worked on the cost efficiency for the year. Good to note in Russia that our transformation towards lower emissions and renewables is continuing with a very good pace. We have the total portfolio of 2 gigawatts of wind licensees. And in addition to that, also solar projects in our joint ventures in Russia. We now have 600 megawatts of wind capacity operational, 495 megawatts under construction and 728 megawatts under development. So very substantial numbers. This year, we will be commissioning significant amounts of both solar and wind. And then good to remember that this is now the Fortum Russia and Uniper Russian operations are reported as part of the Uniper segment. Then over to City Solutions. The Q3 – Q4 comparable operating profit came down €39 million. The result was negatively impacted by the lower result in the heating business in Norway, which is also impacted by the lower power prices. Weaker performance in recycling and waste business. Here, we saw some impacts from reduced activity due to corona. Then on a like-for-like comparison, there was a €7 million impact from divestments. So from units that we do not have anymore. And then in Q4 2019, we had onetime positive effects of €16 million, which we don’t have this year in Q4. For the full year, City Solutions was down €73 million. Similar drivers, lower heat sales volumes, lower power sales prices, negative impact in Norway. And weaker performance in the RWS business. And for the full year, the impact of divestments stood at €14 million. Indian solar is contributing positively, and we are developing projects continuously in the Indian solar business. You remember also that we have a strategic assessment continuing in City Solution area for our Baltic and Polish businesses as well as Stockholm Exergi are under strategic review. We’re obviously, looking at our efficiency and cost base in the business, and we do invest in low-carbon solutions to clean up our district heating businesses on a continuous basis. Then moving over to Consumer Solutions. Q4 on a year-on-year basis, was up €2 million, and this was the 13th consecutive quarter of comparable EBITDA improvement. And I’m happy to congratulate Mikael Rönnblad and his fantastic team of this achievement. Even if competition is continuing very intense, there are tens and tens of competitors in each of our operating areas. We are making good progress and customer recommendation, employee engagement are at all-time high levels. We continue to push ahead well on the value-added product side, and we are launching new digital services to our customers. And then it’s good to note that we have initiated the strategic review also of our Consumer Solutions business. If you look at the full year, Consumer Solutions was up €11 million on the back of the higher sales margins, and this is due to the very good development of our total service offering. And the great work on the value-added services. We continue to strengthen our competitiveness, and we have been signing also new enterprise contracts. Then finally, before I move – hand over to Bernhard, I’ll comment on the Uniper result. This is now the first fourth quarter where we consolidate Uniper on the comparable operating profit level, and indeed, Uniper made a very strong contribution to the Fortum Group. Comparable EBITDA stood at €890 million comparable operating profit €649 million. The result was supported by European power prices and very good performance in the gas business, which was partly also already result of the optimization actions in Q1. And if you remember that the Q1 result is recorded in Fortum result as part of the associated company income. For the full year, Uniper’s contribution on EBITDA level was €856 million and comparable operating profit, €363 million. And again, here, we are consolidating three quarters on the comparable operating profit level and the first quarter, which was very strong, was consolidated as an associated company income. Now we published the – also the preliminary purchase price allocation. And in a nutshell, we see onetime effect in the tens of millions, €64 million for Q4 and €57 million for the full year. Into Fortum books, we take goodwill of €515 million from the purchase price allocation and there’s a modest increase in property plant and equipment, which then will be amortized and will lead to €11 million higher depreciation on an annual basis. But as you can see from these numbers, the impact from the PPA are quite modest. And with this, I move over to Bernhard to go through the key financials. Over to you, Bernhard.
Bernhard Gunther: Yes. So thank you, Markus, and good morning from me to all of you as well, and it’s good to be back. Now to our financial performance in 2020, just a few highlights. It was a good level considering both the market conditions and especially COVID-19 comparable EBITDA and comparable operating profit clearly improved. This, however, only includes Uniper for Q2 to Q4. When including share of profit from associates, as Markus already said, to reflect the full financial impact from Uniper in 2020, our comparable operating profit and share of profits amounted to €2 billion. And that’s probably as close as you can currently get to a kind of adjusted EBIT number for the combined Fortum group in 2020. As mentioned earlier, we did the preliminary purchase price allocation for the Uniper transaction in Q4. And as Markus said, no major impact on the financials just €57 million for the full year and €64 million Q4. When bridging from operating profit to comparable operating profit, there are some significant items included, the main part of which is related to the sales gain from the divestments of Joensuu and Järvenpää, district heating businesses in Finland, which was €722 million, and minus €675 million of changes in fair values of non-hedge accounted derivatives. And this, of course, comes mainly from the Uniper side. The rest is more of a technical accounting nature related to the consolidation of Uniper. In Q4, we have also made some changes to our reporting and accounting that is aligning with Uniper reporting. And these changes are, first, in the income statement, nuclear fund adjustments were reclassified from items affecting comparability to other financial expenses net. However, this change does not impact comparable operating profit. Secondly, in the cash flow statement. Nuclear fund related payments and repayments have been reclassified from cash flow from operating activities to cash flow from investment activities. And thirdly, again, in the cash flow statement, we have reclassified the change in net margin liabilities from operating cash flows, so that the change in margin receivables is now presented in investing cash flow. And the change in margin liabilities is now presented in financing cash flows. Due to the above changes, as well as the preliminary purchase price allocation, comparable figures have been restated and material with restated figures on changes has been made available separately today. I propose you turn to our IR team if you want to discuss or have further questions. So now let’s start with the full year 2020 and the specifics on Q4 will come on the next slide. Compared to 2019, comparable operating profit improved by 13%. And the reason for this is the first time full consolidation of Uniper results from Q2 onwards. Uniper’s contribution to our comparable operating profit was minus €363 million, mainly related to the gas business. And this, as I said before, includes Q2 to Q4 only, and the associate results was recorded for Q1. Furthermore, Q2 recorded a marginal profit and Q2 was loss making, on the Uniper side. In 2019, Uniper contribution was accounted for the whole year as share of profits due to it being an associated company. The difference between Uniper’s adjusted EBIT and the comparable operating profit we consolidate comes from removing the impact of some associate company results and from the consolidation effect of the Oskarshamn nuclear power plant. Uniper fully consolidate Oskarshamn, whereas we only directly – own directly 43% in Fortum’s generation segment. So we will continuously be making these technical adjustments. The result in generation was depressed by lower Nordic volumes and lower achieved price. Considering the low spot prices, the relative stability of our achieved prices at a proof of the importance of hedging to increase stability and predictability of cash flows and results. Now to Russia. Although the Russian market started to recover in the fourth quarter, COVID-19 impact is visible in our Russia segment result. It’s through lower power margin and volumes as well as lower CSA prices. This was a consequence of low oil production that then has resulted in lower power demand, lower power margins and volumes. As mentioned before, the negative result effect from the ruble exchange rate minus €34 million. City Solutions profit was impacted by both the warmer weather through lower heat sales volumes and lower power sales prices, especially the Norwegian heat business was hit due to its pricing mechanism. The structural change of the divestment of our district heating in Joensuu and Järvenpää in Finland resulted in loss of comparable operating profit of €40 million. Also, the recycling and waste solutions posted weaker results adversely affected by COVID-19. And for comparability, please bear in mind that in 2019, as Markus said, we also had a €60 million positive one-off. Consumer Solutions improved in 2020, as Marcus said, and I may say, having worked for other companies active in that business as well for quite a while. I think this is a remarkable achievement given the competitive pressure in these markets. So now moving on to Q4 very briefly. I think most important thing to state is that Q4 numbers in aggregate cannot be compared to 2019. We do not have comparison numbers from last year for Uniper as we started to consolidate only in Q2 2020. And you can see that Uniper’s Q4 contribution was higher than the full year impact from Q2 to Q4 because of the seasonality related to the gas business. The overall drivers for the earnings variances in our Fortum divisions are the same as for the full year. Now moving on to net debt and cash flow. Here you will find the changes in our financial net debt and main items of our cash flow during 2020, showing an increase of €2.19 billion, mainly related to the consolidation of Uniper’s financial debt, which was at €2 billion. Our cash flow from operating activities in 2020 was strong, €2.55 billion. While cash flow from divesting activities amounted to €1.26 billion. These together more than covered the investments totaling approximately €2.9 billion. The dividends paid amounted to more than €1 billion, including the minorities? At the end of the year, our financial net debt totaled approximately €7 billion, and it’s being used in our KPI for monitoring our leverage at financial net debt to comparable EBITDA. At the Capital Markets Day in December, Fortum updated its long-term financial targets, including target for our leverage to be financial net debt to comparable EBITDA below 2 times. At the end of the year 2020, financial net debt to comparable EBITDA, as reported, stood at 2.9 times. But here, we have to keep in mind that as we started to consolidate Uniper only from the second quarter onwards, the group EBITDA is only comprising 3 quarters in 2020 and is thus not representative of the leverage ratio yet. If considering a pro forma financial net debt over EBITDA, it would be in the ballpark of 2.2 times. As we have said before, our key objective is to have solid investment-grade rating of at least probably flat and to maintain the investment-grade rating, we focus while optimizing our cash flow and keeping our financial flexibility. We have good access to capital and ample liquid funds of €2.5 billion and undrawn credit facilities of another €5 billion. Our total loan position at the end of 2020 was €9.6 billion and the average interest rate for our gross debt portfolio currently is 1.5%. The average interest cost for our euro loans is 0.9%. Now finally over to the outlook. Our successful hedging has continued with marginal decrease in our achieved hedge prices compared to spot prices. For the remainder of this year, generation hedges are unchanged from what we reported in connection with our Q3 results. And for the year 2020, we are now 50% hedged at €31. Uniper hedges, as published by them last week, are 90% at €27 for the remainder of this year, 65% at €24 for 2022. And in addition, Uniper also published 25% at €22 for 2023. Regarding CapEx for 2021, we repeat what we already communicated at our Capital Markets Day in December. Total group CapEx is estimated to be €1.4 billion, of which maintenance is expected to be around €700 million, of which Uniper share is approximately €400 million. However, there might be some volatility between the euros and we have not provided guidance for the normalized making CapEx going forward. Finally, I also want to highlight that the lower bond yield in Russia will have an impact on the CSA payments for the ongoing year as the bond yields have declined during last year. The drop is from 7.6% to 6.3% and were lower for CSA payments. With this, I conclude our presentation, and we are now ready to start the Q&A session. Ingela Over to you.
Ingela Ulfves: Thank you very much, Bernard, and thank you also, Markus, for the presentation. Actually, before we open up the Q&A session, I would still hand over the word to Markus.
Markus Rauramo: Okay. Thank you, Ingela. So meanwhile, when we have been presenting our strategic assessments have proceeded and one of those resulted in a conclusion to divest. So we just announced that we are selling our District Heating business in the Baltics for a headline price of €800 million the Partners Group. And from this transaction, we expect to record a tax exempt capital gain of approximately for €240 million in the City Solutions segment in second quarter of this year. And we expect that the transaction is then completed in the second quarter and subject to customary closing conditions. This is a logical continuation of our strategy execution, where we are continuously proving our portfolio and making sure that we have the right focus in our businesses, but this is news that we were able to produce during the presentation.
Ingela Ulfves: Okay. So with this addition of new announcements, then we are ready to go into the Q&A session. So moderator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Sam Arie from UBS.
Sam Arie: Congratulations on the results and the disposal as well. We were just reading that during the presentation, and welcome, Bernard. It’s good to have you back, too. I just wanted to ask two questions, if I may, one on results. And then one on my favorite topic, Uniper. So just on results, you beat expectations this morning, but it’s coming from results, which look a bit maybe weaker-than-expected on EBITDA. But a bit better-than-expected on the items below EBITDA. And the associate line, in particular, if you take out Uniper and Exergi, it looks to have had a very strong Q4. So I just wondered if you could comment if the full year number for the associate line is a good basis for next year? Or are there some one-offs and exceptionals in there that we need to adjust for? And then – so that’s my question on results. And then back to Uniper. Look, obviously, last week, Uniper had to make a special release put in their dividend policy announcement on hold, and they said the discussions with you were pending. I imagine one reason that you might not want them to set out a dividend policy at this stage if you are expecting a major disposal during the year. For example, if you were looking at the sale of Unipro as has been reported, but I wanted to check, is that a fair assumption? Or can you give any more light on the discussions that are pending with Uniper on the dividend policy?
Markus Rauramo: Okay. Well, I think I’ll take these two questions and if Bernhard wants to add on the associate question, please chip in. The big item on the associate company line is Uniper. So we’re not going to have that anymore in 2021. Otherwise, that’s the kind of multi-hundred million issue there, the big needle mover going forward. With regards to the Uniper dividend communication, this is Uniper’s decision that they communicated. I think it’s natural that this is discussed both in Uniper Supervisory Board and also with the 75% owner. And a difference there between Uniper and Fortum has been that Fortum typically announces the proposed dividend only at the full year results. Now we gave already heads up unusually in the Capital Markets Day of our intentions. But normally, very close to the AGM. So I think it’s fair then to discuss this point that should – when does the dividend guidance needs to be given, but not more special than that
Sam Arie: Okay. And on the associate line, I’m sorry, I just had – excluding Uniper and Exergi, I was sort of referring to the other items in there. I think it’s about €140 million for the year, but about €100 million of that came in Q4. So I just wanted to check what might be any one-offs in Q4 and the other associates?
Markus Rauramo: You’ve got the elements there like Stockholm Exergi, TGC-1 and others, which are in businesses that also can have volatility between the years and between the quarters. So not something that I would start to forecast for the coming years.
Operator: Our next question comes from Lueder Schumacher from Societe Generale.
Lueder Schumacher: Three questions from my side. The first 1 is on the disposal you just announced in the Baltic, District Heating, how much EBITDA is associated with that business you are selling? That’s the first one. The second 1 is on Nordic power prices. Since the beginning of the year, the trade more or less around €28 per megawatt hour. In the meantime, CO2, as you said, is up 27%. Year-to-date, German power prices are partially reacting to this, they’re up 15%. Why is nothing happening to Nordic power prices? I know we’ve got very high reservoir levels, but that shouldn’t really make a difference as we are talking about carbon, so 2022 prices here. But what’s your view on Nordic power prices and why they are and where they are and where they can go to? And lastly, on your reporting, you still just report in net income, then you give an adjustment in terms of EPS per share. Now Uniper’s nonoperating result is notoriously volatile, so it does distort your reported net income. Are you considering moving to an adjusted net income in your reporting as most companies in the sector, which have a quite unpredictable nonoperating results have? And lastly, also on reporting, could it be that at some stage, we’re going to get an outlook for the financial year that goes beyond hedging ratios. So actually, just give us a target range. I mean, even Uniper, which has a very volatile business manages to come up with a target range for EBIT and net income. Is this something we might expect from you in the future?
Markus Rauramo: Okay. Thank you for many questions. And both on Lueder’s and Sam’s remarks, we are also very happy to have Bernhard on the team. So it’s a real pleasure to have his competence and also the great personality. So I’m very happy person, and we’re all happy. Happy here in Fortum about that Uniper. Baltic businesses EBITDA was €54 million. And that is including quite substantial subsidies for bio-based energy in several of the power plants. So if we think about EBITDA multiples, they were reasonable on a non-adjusted basis. And for my test, at least very good on – if we adjust for what the EBITDA will be without these subsidies. So my interpretation is that the market appetite for this type of infrastructure assets is very good. And also the assets we have are very well invested, and they’re operated very efficiently. So the teams have historically done really good work in operating, and we have done good work in developing these assets. So they command good value. With regards to Nordic power prices, the Nordic market is definitely connected to the continental market. So we are operating in one interconnected markets all the way from South Spain to North Lapland. And then how the individual area prices are then formed? There are big impacts from interconnections between price areas and between Nordics and the continent and hydrological conditions. Power demand may vary significantly. And just to give the flavor how it is now being here in Helsinki, the temperature has varied just in the recent days between plus 2 and minus 17, 18 degrees. And if you look at the power consumption, it has kind of gigawatts of impact on the demand. On the other hand, the wind production has varied between something like, I don’t know, 200 megawatts to 2,100 megawatts for the wind. So if you look at the daily or weekly prices, it’s hard to grow the long-term conclusion, but my long-term conclusion is that we are connected, and we will be further even tighter connected. Now there are almost 10 gigawatts of interconnections between the Nordics and that is growing in a couple of years, again, by another 3, 4 gigawatts of connection. On the net income question. I recognized this issue, of course. And what we try to do is that we give visibility into our performance through the different KPIs. So it’s not only one number that we ask you to look at, but several numbers. And personally, I like historically the net profit because it’s quite absolute, but right you are that with even big moving fair valuations and others, it will become more difficult to interpret that number. And that’s why we need to focus on the comparable EBITDA as comparable operating profits and other measures. Bernhard, do you want to give you a take on this issue?
Bernhard Gunther: Yes. Just very briefly, Lueder. I think it’s a fair question. This is a situation for Fortum, which has now changed with the full consolidation of Uniper and I’m sure we will give it consideration on how this affects our reporting going forward. As you can see, it’s still in the structures of the old Fortum Group before full consolidation of Uniper. And as Markus said, some of those line items now make a bit less sense than they did before. So not giving any promises, but we are certainly aware of it and have it on our list.
Operator: Our next question comes from James Brand from Deutsche Bank.
James Brand: I’ll ask two questions as well. So the first one is just wondering whether you could help a little bit in terms of some of the EBITDA splits within City Solutions? So you said in the announcement around the sale of the Baltics district heating business that you highlighted the strategic review for the Polish heating and cooling business. So I was wondering whether you could remind us how much EBITDA that contributed? And then secondly, Ekokem, I’m not sure if you’re still calling it Ekokem, but maybe you’ve changed the name by now. But the waste business that you acquired which obviously is a big – the other big part of City Solutions as well as district heating. I was wondering whether you could tell us what that contributed in EBITDA in 2020? That’s the first one, I guess, two parts of it. And then secondly, on the Uniper stake, what should we expect on disclosure going forward? Because I don’t think – you obviously don’t really have any threshold disclosure requirements anymore that you need to report on, I think, until very high levels. Should we expect you to update us every quarter on where the stake has got to? Or should we just not expect to hear anything on what your stake is? Because it’s useful to know what it is, just so we can – well track the situation but also reconcile your outlays with your stake?
Markus Rauramo: Okay. I can start with Uniper stake and I can also start to EBITDA split and then hand over the trickier part to Bernhard. But with regards to the Uniper stake so we disclosed annually what is our ownership level, and now it’s a notch over 76%, then we would report according to mandatory flagging levels. And then, of course, you can see, for example, from cash flow into share acquisitions if we’re doing something bigger. And then probably we need to consider if we do something larger without the flagging level that is it something that would need to be disclosed if it’s a relevance. But otherwise, normally on an annual level. But from my point of view, this is then more semantic because Uniper now is a segment for Fortum Group, and it’s reported as the other segment in Fortum. Of course, being a listed company, you will get a lot of color and detail from Uniper management in the Uniper reports. With regards to that EBITDA split, what I would say rather than commenting on the exact EBITDA, unless, do we have – I don’t know, Ingela? No, we don’t have the exact number there, but like I said, so nowadays, we’re calling it recycling and waste solutions. But don’t worry, Ekokem brand is still engraved also in the previous customers and societies mind. But we did see some pressure coming from corona with reduced, for example, waste volumes from businesses and also a reduced environmental construction.
Operator: Our next question comes from Deepa Venkateswaran from Bernstein.
Deepa Venkateswaran: Bernhard, a warm welcome from me. Good to see you back again. I have three questions. One is, Mark, as you mentioned in the beginning about the green taxonomy, and you mentioned that hydro wasn’t was being placed in an inferior position. Would you elaborate on the technicals on why hydro would not be included? I understand the arguments on nuclear? So that was my first question. And then the second question is on Russia. I think just looking at our numbers and consensus, generally, people are modeling a $15 million to $20 million EBIT step down from ‘20 to ‘21, is that in the right ballpark? Or because of the bond yields we need to change that to a higher number? And my last question is really on the City Solutions business or maybe elsewhere, were there any COVID one-offs that we need to be aware of, which we think will not reoccur in next year?
Markus Rauramo: Okay. The green taxonomy discussion, I think the issue was that it became quite categorical and narrow in the sense that only very few production firms would be regarded as doing no significant harm. And the question in hydro, as far as I understand it, and I try to understand also what’s the issue there. It’s around how high the production is impacting national habitat fish breeding and investments into, for example, fish ladders, et cetera. And we take this area extremely seriously. So we want to minimize our impact on the environment. We are ready to spend money in helping natural habitat to survive and improve, but then the question is that how do we best use the moneys that are available and mandatorily should be used? And as it looks like right now, the significant amounts of hydro in the Nordic could be put in an inferior position because of these discussions. And this is what we are now actively engaging also with the EU on. And overall, I would say that the bigger issue is that if we want to achieve our Paris agreement, climate targets, fight climate change, which is a really big threat for us, then we should be careful not to put solid, well maintained, safely run CO2-free businesses in an inferior position i.e., hydro, nuclear, for example, waste-to-energy. It’s CO2-free share, then we think it will become more difficult actually for EU to achieve its target. That’s the dialogue we’re having. With regards to Russia 2020, ‘21, the – I can’t comment exactly on if the calculation is correct. But we now have elaborate details on the unit by unit CSA time lines, both for the Fortum segment, Russia and Uniper segment Russia units. And Ingela and the team are more than happy to provide further details on that if needed and go through the assumptions. And then for City Solution, I’m not aware of any forward coming one-offs in the area. If we would have, we should announce those.
Operator: Our next question comes from Vincent Ayral from JPMorgan.
Vincent Ayral: So I think my key questions what I asked on the Uniper dividend, Russia and the Baltics disposal. So I’d like to get an update then on Exergi which is the big chunk a bit, which is still remaining there. That in a number of press articles reporting a fair amount of interest. A few leaders have been leaving the option given the competition of the asset and the price levels reportedly. Could you give us a bit of an update on the process, the time line and everything regarding Exergi?
Markus Rauramo: Thank you for the question. So the assessment is indeed going on. And I think there are two sides to such an assessment. One is that in order really to assess both the strategic and potential market interest and market value of any of our businesses, we have found that in a situation that will be very competitive it is easier to then have a kind of open process to do the assessment. I think the flip side of this is that we do understand that what kind of uncertainty poses for our personnel. So we need to be very careful when we announce something like that. So with regards to the Exergi assessment or consumer solutions or the Polish business, it’s a long conclusion that it will lead a divestment. So we are truly assessing what are the best strategic options. What is absolutely clear is that there was interest in the asset before the announcement. And after the strategic review assessment announcement, this interest has intensified. And I think that now this announcement on the Baltic business shows that even in rather tricky times and with having even a more diverse asset base in multiple countries and multiple asset, commands good interest. And from my point of view, the Stockholm district heating system is one of the largest in Europe and a really well invested system, and that reflects in the interest that we are seeing in it. But with regard to what would conclusion be, then there is no further information on that at this point in time.
Vincent Ayral: Also added, I mean, I had a slight surprise. Not on the disposal multiple in the Baltics. I was expecting in 15, so lucky. But on the EBITDA level, at an EBITDA, which was a tough high 66%, you explained there was some elements to remove, and it should get to 54%, fine. What is the EBITDA to consider for Exergi? Is there anything we should know there? What’s the order of magnitude of the EBITDA for Exergi and when we will apply those?
Markus Rauramo: Thank you. So I’d rather compare actually the just the size of the system. So if my memory has me right, the Stockholm system is it’s something like 8 terawatt hours of heat, whereas Baltics was 1.4 terawatt hours. So one of the largest systems in Europe. And of course, you can actually find the Exergi in their published annual reports also. 
Vincent Ayral: We have SEK 2.8 billion. So that’s about €71 million. Is it fair in 2010?
Markus Rauramo: If that’s a reported number, it sounds about right, but I don’t know what you are referring to. But of course historical information is available, and I would only refer to that.
Vincent Ayral: Yes. Okay. I’ll leave it there, Markus. But the point is I wanted to know if this is the Stockholding and the reported and it was just to know if there were any nonrecurring element in 2019, we should be aware of?
Markus Rauramo: We can get back to that question.
Operator: Our next question comes from Peter Bisztyga from Bank of America.
Peter Bisztyga: Yes. And I’d also like to say, and I’ll come back to you Bernhard and I guess, wishing you the best of luck with your finish press presence. So two questions from me. Firstly, can you just explain why Stockholm Exergi. Do they have any rights, for example, to block alternative buyer from your stake? My second question, as regard to Baltic business again. Can you just elaborate roughly how much about €54 million both from the subsidies that you mentioned and when do they subsidies end?  And also, do you happen to have a sort of comparable 2019 figure for that EBITDA of, I guess, in the sort of pre-pandemic year with more favorable weather? And then my final question was just regarding your renewables sort of activities that seem to be sort of spread across several divisions or business lines. And it’s certainly difficult for us as analysts to see the sort of overall EBITDA contribution of this business. But presumably, it’s also not the most efficient way to manage the business. I’m just wondering if there are plans to sort of put this all in one – under one umbrella at some point in the future.
Markus Rauramo: With regards to the Exergi shareholders agreement and its content then that’s something that we, obviously, need to take into account. And I think that if there was a sale considered, then that’s something that you need to consider also with your large co-shareholder and of course, a potential acquirer would like to understand vice versa the potential co-shareholders strategy. So I leave it at that. With regards to the subsidy it is the subsidies in the different plants, they are rather sizable, and they are maturing in the next several years. So it will take until the latter part of 2020 before these subsidies are then maturing. Then for the final question for renewables, the setup we have today, solar in City Solutions wind in generation and then Russian wind and solar in Russia, that has all made sense in the setup, how we have been building the competencies. And then we have been cross utilizing knowledge like procurement like supplier, auditing, site development. So we have benefited from this cross-divisional work. Now for the European renewables business, we said that we are targeting a one team approach, and we gave the task then to David Bryson in Uniper to come up with a proposal, how should the development happen going forward. So how to then utilize the competencies in the whole Fortum Group, in Uniper and Fortum in the best possible way. And we will then communicate in due course on the results of this work. But I think, of course, you are right in that, that Eventually, there is a price you pay for fragmentation. There are benefits of that having strong local presence and divisional ownership from the different pieces. And that is something that probably develops over time.
Peter Bisztyga: Okay. And sorry, just back on the Baltics things, do you happen to have in mind the 2019 EBITDA number for that business?
Markus Rauramo: I don’t have that in my mind. That number, unless Bernhard has.
Operator: Our next question comes from Pasi Vasisanen from Nordea.
Pasi Vaisanen: Great. This is Pasi from Nordea. By looking at the equity story for coming years, could you actually please clarify Eastern Russian gas operations a core asset base to you? Or is it not? And secondly, Fortum has been promoting a higher CO2 emission right price that I can understand. But to be honest, I mean, the pass-through from emission right price to the Nordic book price is close to nothing. So what is the earnings effect you actually expect to see from a higher yield to CO2 emission right prices going forward?
Markus Rauramo: It is clear. Regarding Russia, it is clear that core countries committed to Paris agreement need to shift from high emitting to low emitting production. Russia has ratified the Paris agreement. So I do believe that also in Russia, we will see a gradual shift towards lower emitting production. We have actually taken that path already. So we have the substantial renewables development program going in, in Russia. And for us, it is natural to also rotate portfolios over time, which is something both Uniper and Fortum have done in Russia with in Uniper’s case with the Fortum and then also the active management of capital in our joint ventures on the renewables side. I do think for Russia, Russia needs to also think about sectors like district heating more broadly, how to incorporate low emitting fuels like waste and biomass into the systems and incentivize also heat offtake. Then with regards to CO2 emission pricing, the European market is interconnected. So higher CO2 prices will impact also on Nordic prices. What is the impact at any given time, it is subject to many factors, internal connection capacities, local conditions like in the Nordic case, hydrology, temperature, renewables production. So it is hard in the short run to sometimes see what the impact of the different factors are if the gas, CO2, coal, how does it show in SE2 to price in Sweden. But indirect industrial, and then the question is, what is the connectivity and what are the local conditions?
Operator: Our next question comes from Artem Beletski from SEB.
Artem Beletski: And I actually have two still to be asked. So first of all, relating to Baltic divestment, I will ask it a bit differently. Looking at the valuation, what you have achieved for the asset, excluding subsidies, is it far off from multiples, but you got finish divestments last year? So basically, you and the other question is relating to Nordic markets, and Markus mentioned that there has been a big pricing temperature volatility in Q1. Could you maybe comment on potential optimization benefits, how you are seeing the year start developing from that perspective?
Markus Rauramo: For the Baltic mutiple excluding the subsidies, I think the multiple, from my point of view, was on historical basis, looking at present transactions in the sector. Looking at transaction multiples in other businesses, it was high. It was not as high as in the case, for example, of [Indiscernible] but on a very significant level. With regard the optimization, that’s definitely a key profit contributor for us. And last year, we made really good results from the physical optimization and financial optimization. And then we’re pretty soon report on how it went for Q1. So it’s just a few weeks left of March. So we’ll get back to that rather soon.
Operator: Unfortunately, that’s all the questions that we have time for. So I’ll now hand over back to the speakers for any other remarks.
Ingela Ulfves: Thank you so much, operator, and thank you all for your questions. Unfortunately, as we are limited to 1 hour, we are already over time. So any questions left, please address them directed into the IR team. And We’ll be more than happy to help. One addition at this Stockholm Exergi and associated results came up at several questions. Just to clarify, in 2019, they actually had quite substantial impairment. So Stockholm Exergi, €66 million impairment, which resulted in €22 million and the Fortum associated results. So that is why that number is negative. So – but with this, thank you, everyone, for participating here today. And on behalf of the whole team here, we wish you a really nice rest of the day. Thank you.
Markus Rauramo: Stay safe. Thank you very much for your activity. Thanks for being with us today.